Operator: Good afternoon ladies and gentlemen. Welcome to the Wireless Ronin Technologies’ First Quarter 2012 Earnings Call. My name is Eliza and I will be your conference operator this afternoon. Before we begin today’s call, I would like to remind everyone that this call will be available for replay through June 10, 2012 starting later this evening. A webcast replay will also be available via the link provided in today’s press release as well as available on the company’s website at wirelessronin.com. I would now like to turn the conference over to Erin Haugerud, Wireless Ronin, Manager of Communications and Investor Relations. Please go ahead.
Erin Haugerud: Thank you and welcome to Wireless Ronin’s first quarter 2012 earnings call. With me today are Scott Koller, President and CEO and Darin McAreavey, Senior Vice President and CFO. Following Scott’s opening remarks, Darin will review our financial performance for the quarter and turn the call back over to Scott for an operational update. Then we will open up the call for your questions. To access today’s webcast, please go to Investor section of our corporate website at wirelessronin.com. Please note that the information presented and discussed today includes forward-looking statements made under the Safe Harbor Provision of The Private Securities Litigation Reform Act of 1995. Our actual results in future periods may differ materially and you should not attribute undue certainties to our forward-looking statements. Risk and uncertainties that could cause our actual results to differ from those expressed or implied by forward-looking statements, including those set forth in the Risk Factors section of the annual report on Form 10-K we filed on March 21, 2012. In addition, our comments may contain certain non-GAAP financial measures including non-GAAP operating loss per share. For additional information, including reconciliation from GAAP results to non-GAAP measures, how the non-GAAP measures provides useful information and why we use non-GAAP measures, please see the Reconciliation section of our press release, which appears on our corporate website. Now, I’ll turn the call over to our President and CEO, Scott Koller. Scott?
Scott Koller: Thank you, Erin. Good afternoon, everyone, and thank you for joining us on today’s call to discuss our first quarter 2012 results. Our performance in Q1 reflects our continued focus on driving and recurring revenue growth, margin expansion and expense reduction. The first quarter marked the highest quarterly recurring revenue in our company’s history and second highest gross margin quarter driven by higher margin software services and hosting fees. I’ll talk more about our operational highlights and business outlook in a few minutes. But now I’d like to turn it over to our CFO Darin McAreavey to walk you through the financial results for the period. Darin?
Darin McAreavey: Thanks Scott and good afternoon everyone. Revenue in the first quarter of 2012 increased 16% sequentially to $1.8 million from the prior quarter and decreased 26% from the same year ago period. The year-over-year decrease resulted primarily from low orders of the iShowroom branded tower location received from individual Fiat dealerships partially offset by increased development from constant [ph] [00:01:51] orders in Chrysler. We believe Chrysler will continue to rollout iShowroom branded tower applications with further dealership adoption. Additionally, Chrysler has required all Fiat dealerships to adopt the iShowroom interactive application which is being featured in the Fiat Style Center of the new Fiat Studio Facilities. However, since we do not have a contract with Chrysler requiring it to source all the various components of these solutions through us, and iShowroom branded tower purchases still remain within the discretion of the individual dealerships, we cannot predict the forecast of timing or value of future iShowroom orders. Today we have received purchase orders for 400 Chrysler and 200 Fiat dealerships. Chrysler continues to invest in new ways to expand the iShowroom interactive application. Most recently in Beijing, Wireless run into develop iShowroom Web 2.0 program which we delivered during the first quarter, the projects that we’ll discuss further in a few moments. At the end of the first quarter, we have recognized the total of $1 million of purchase orders for which revenue will be recognized in future quarters. Recurring revenue in the first quarter of 2012 increased 10% from the previous quarter to a record $466,000 or 26% of revenue. Recurring revenue increased 18% in the same year ago period. Gross profit increased to $949,000 or record 54% of total revenue compared to $446,000 or 29% of total revenue in the previous quarter and $1.1 million or 46% of total revenue in the same year ago period. The sequential and year-over-year improvements in recurring revenue and gross margins on a percentage basis demonstrate our focus on increasing our higher margin software and hosting services. It also reflects our continuing shift from a digital signage company to a marketing technology company. Net loss totaled $1.8 million or $0.08 per basic and diluted share incurred to a net loss of $1.7 million or $0.08 per basic and diluted share in the previous quarter and a net loss of $2.3 million or $0.12 per basic and diluted share in the same year ago period. Our Q1 2012 net loss included $161,000 of non-cash stock compensation expense versus $48,000 in the previous quarter and $345,000 in Q1 of 2011. Our non-GAAP operating loss totaled $1.5 million or $0.06 per basic and diluted share compared to a loss of $1.5 million or $0.07 per basic and diluted share in the previous quarter. This is an improvement from a non-GAAP operating loss of $1.8 million or $0.09 per basic and diluted share in the same year ago period. We continued to diligently manage our expenses focusing on achieving a breakeven non-GAAP quarter. Now turning to balance sheet. Our net working capital position was $3.6 million at the end of the first quarter of 2012 compared to $5 million at the end of the prior quarter. This completes my financial summary. For a more detailed and complete analysis of our financial results, I would like to direct everyone to our Form 10-Q, which we expect to file by May 15th of 2012 and will be available at www.sec.gov as well as our website. Now I’d like to turn the call back over to Scott to provide an overview of our operational activities and developments. Scott?
Scott Koller: Thanks Darin. Our results demonstrate our transition to a marketing technology solutions company and continuous strategic shift from hardware centric offerings to a higher margin software and services and business model. As Darin mentioned, the iShowroom program for Chrysler serves as a prime example of our integrated marketing technologies platform. iShowroom has evolved to meet the needs of Chrysler and its dealers for more than 10 years, which is why Chrysler continues to invest in the future of this valuable sales tool. Considering the dominate role, mobile technologies now playing commerce Wireless Ronin and Chrysler developed iShowroom 2.0 which includes complete integration with today’s most popular mobile devices. With iShowroom 2.0, sales consultants have full access to vehicle feature presentations, specifications, competitive comparisons and local dealer inventory on both tablets and smartphones. The platform automatically detach device type and screen resolution and delivers a user experience best suited for the users device. While the mobile version of iShowroom is expected to have a significant impact on overall usage, the key asperse remains a priority for Chrysler and we are seeing increased activity in marketing of the branded tower program. We believe this demonstrates Chryslers continued commitment to the iShowroom program and we expect to receive additional orders for a further enhancements to the platform. Along these lines, our strategic shifts continue to yield new wins in Q1, speared by expanding opportunities outside our historical core offerings and verticals. A prime example of this was our deployment with ECOtality, a leader in clean electric transportation and storage technologies. We deployed digital marketing solutions to support ECOtality’s media and advertising capabilities for its Blink network of electric vehicle charging stations. ECOtality’s selected Wireless Ronin based on our proven experience deploying complex integrated solutions and demonstrated ability to deliver ROI to customers through our digital content platforms. This deployment reflects our ability to offer flexible digital marketing solutions that can easily integrate with existing networks. We believe our experience providing marketing technology solutions in the automotive industry made us the ideal partner for ECOtality. And we look forward to working with them as an expanded Blink network. We also succeeded in securing and deploying a five-store pilot with Buffalo Wild Wings, a national best casual dining restaurant chain with more than 800 restaurants in North America. Buffalo Wild Wings selected Wireless Ronin to enhance the award winning restaurant and bars neighborhood atmosphere and guest experience focus based on our proven ability to provide customized restaurant experiences and key in-store promotions. Our solution created a new experience to guest interaction with a touchscreen photo capture application which should place – displays both guest generated and Buffalo Wild Wings branded content. The solution allows guest to share photos with their social networks via QR codes or email, extending the content beyond the restaurant’s locations as a way to further promote the Buffalo Wild Wings brand. These photos, social media contents and other third-party information will also be displayed on messaging TVs through the restaurant. We believe this implementation validates our capabilities beyond traditional, digital menu boards. Our innovative and highly engaging solutions turn regular store environments into powerful consumer experiences that can take a brand to new level. This deployment is a great example of our marketing technologies capability and provides conformation that the market is adopting these types of multi-platform digital solutions. We believe our product offerings have uniquely positioned Wireless Ronin to capitalize on our clients requirements to render content any time and anywhere from a common platform. Additionally, these new technologies expand the solutions we provide and represent a significant opportunity to increase our revenue beyond traditional and digital assignments. Our sales opportunities and pipeline in the QSR market are expanding. We continue to receive orders from QSR customers as they recognize the ROI from our technologies. We also continued to execute on our pilot work in this important vertical. In fact, we are currently in for the top 10 QSRs and along with our strategic partner Chrysler we’re also seeing increased RFI, RFP activity amongst several other top QSR teams representing a significant opportunity for our business. We believe we are well positioned in these pending RFPs. We are also confident that our solutions will create operating efficiencies and promote higher compliance for QSRs under the pending FDA nutritional labeling regulations. We are set to capitalize on the industry’s increasing demand for cutting edge, digital signage and marketing technologies. Also in Q1, we attended four industry events including the National Retail Federation’s Big Show, the KFC Convention, the Next Generation Customer Experience and the Multi-Unit Restaurant Technology Conference. We also participated in the largest event for the restaurant industry, The National Restaurant Association Show earlier this week. Wireless Ronin is considered a thought leader in the marketing technology space particularly in the automotive vertical. As an example, our Senior VP of Content Engineering, Alan Buterbaugh, was asked to moderate a panel titled where the rubber meets the road maintaining momentum in the showroom at the automotive customer center season in June. The panel will feature representatives from Chrysler Academy, Ford Direct, and Volvo Trucks. They will discuss strategies and tactics for satisfying the end dealership demands of today’s highly informed and typically impatient customers who are searching for a radically different shopping and ownership experience. As Darin outlined, our financial results reflect our commitment to controlling costs and receiving profitability. We continuously push to optimize our organization, improve our processes and reduce expenses. We are focused on balancing revenue growth with operating expenses and client commitments. As demand of our new marketing technologies continues to accelerate, we believe we are strategically positioned to drive market share expansion and further penetration of our key verticals. Before we open the call to your questions, I would like to express on behalf of the entire leadership team our appreciation for the continuous support from our partners, clients, employees and shareholders. Now with that, we’re ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you, sir. (Operator Instructions) Our first question is from the line of Ty Lilja with Feltl & Company. Please go ahead.
Ty Lilja: Hi guys. Thanks for taking my questions.
Scott Koller: Hi Ty.
Darin McAreavey: Hey Ty.
Ty Lilja: Yeah. Firstly just wondering if you’d give us an update on where things stand with Thomson Reuters?
Scott Koller: Yeah. As we’ve talked about in past conversations on past earnings calls, historically, we have been working with the marketing communications group within Thomson Reuters and we’re cost center actually part of doing business as they would signed the contracts with banks to provide information and data to them is what they sell, they would get the technology as an add-on to that. We’re in the process of transferring from that division to another division where Thomson Reuters is looking to take the product line to financial institutions as actually a profit center. And we’re in the middle of working on the exact details of what that would look like and that’s really the best update I can give you today.
Ty Lilja: Okay, sure. And also just wondering if you can provide a little more color on the QSR space and those pending RFPs you gave reference to. Is this…
Scott Koller: Yeah.
Ty Lilja: …handful of specific ones or is it just more general interest?
Scott Koller: No, it’s a handful of specific ones. And the ship we’ve seen and the ship we continue to see is three, four, five years ago when we were going to pilot in the QSR, it was really to take a look at digital and how digital may fit into the environment. And the difference with today’s RFPs and RFIs is they’re actually saying we’re going to do digital, we need to go and see how we’re going to do digital instead of just it will work in our environment. And on the back end of these, are – in some cases, definite rollout potential and rollout plans on what they want to do to migrate from static to digital. So, and the activity has been pretty fierce. So we’ve gone in by ourselves, we’ve gone in with Keyser on several of these and we feel like we’ve been well positioned to capitalize on that.
Ty Lilja: Okay sure. And at this point, do you have any sense of; I assume they start out with a pilot and a trial. Do you have any sense of what they’re looking for in terms of metrics or lift that would really (inaudible) you can see it by doing a rollout.
Scott Koller: Actually it hasn’t entitled to a lot of metrics in lift, it comes down to operational. How would it fit into core, how would they day part it, how would the content get done, what assets do they have, what additional assets would they need, how would they day part. So most if it’s been pure operational. Now what they hope to find is that effective day parting will create lift because that’s the opportunity for it and but it’s really come to the standpoint of how would it look in our environment, how would we develop the content, how would we day part and then hopefully if we do that effectively, we’ll get the lift we’re looking for.
Ty Lilja: Thanks. I’ll get back in queue.
Scott Koller: Thanks Ty.
Operator: I apologize. The next question is from the line of Dwayne Nick (ph), Private Investor. Please go ahead.
Dwayne Nick: Hi Scott, Darin, how are you?
Scott Koller: Yeah great, yourself.
Dwayne Nick: Good, good. This is more of a like a comment or a thank you for you guys. I want to thank you guys Scott, Darin your Board of Directors and Ronin employees for aligning Ronin with such a mega billion-dollar company such as ARAMARK, Chrysler, Yum! Brand, Chrysler or Keyser Florida Plastics, Thomson Reuters and many more. The press release of Keyser or Florida Plastics known in partnership to me was a little disappointing and that shareholders didn’t get the 50-year relationship with McDonald’s. To me commonsense should tell you that Keyser is not going to lose digital signage to another competitor after a 50-year relationship. And get this, Ronin is their digital partner. Keyser knows where all of the McDonald’s are, they can install service maintain after a 50-year trusted relationship. My bottom my point is this that you know how hard it is to open and get your foot in the door with these billion-dollar companies. And in my 40 years of investing, I’ve never seen anything like this opportunity in front of us. Opportunity is coming to the believers, the stars are aligning, this is our year, thanks.
Scott Koller: Thank you Dwayne.
Darin McAreavey: Dwayne, we believe the same so thank you.
Dwayne Nick: Thank you. And I appreciate the kind words.
Darin McAreavey: Thank you.
Operator: Thank you. The next question is from the line of Jack Fred with Discovery Investments. Please go ahead.
Jack Fred: Darin and Scott good afternoon.
Scott Koller: Hi Jack.
Darin McAreavey: Hi Jack, good afternoon.
Jack Fred: Just a couple of things, just a follow-up. Going back to the Thomson Reuters and I just want to kind of put it to bed the Dailydo had an article up there that you guys maybe losing that contract. It sounded based on what you’re saying today that’s just a yes?
Scott Koller: I would say, I don’t read the Dailydo.
Jack Fred: Okay.
Scott Koller: That will put much credibility into it.
Jack Fred: Okay. Second question related to that. I know a couple of quarter ago, you talked about a financial institution that I think you had some pilots going on about 3,000 branches. Where do we stand on that and how does that work with Thomson Reuter if you’re involved with that?
Scott Koller: Yeah that pilot is through Thomson Reuters. That is really the first step we took from going from a non-profit center, our marketing communications are part of their offering into their wealth management group. So Thomson Reuters is managing that relationship although we have a direct relationship with that client as well and is going well. I think that as you see more clarity in the color relationship with Thomson Reuters for look, hopefully we can get more transparency on that in the nearest future. You’ll understand how that will be going to market with this. But they are handling that relationship and the relationship is sound.
Jack Fred: Okay. Just going back to the auto side, I know you’ve had Chrysler and FIAT and can you just go a little bit, how are we doing with some of these other manufactures like GM or you mentioned Volvo here in the call and Ford. How are we doing with some of these and maybe you can just give us a little more outlook?
Scott Koller: Yeah that’s a good question, Jack, because obviously we have a lot of experience in automotive and had been quite successful at Chrysler and with the FIAT initiative. We do have activity in automotive with people outside or manufacturers outside those two brands. However, at this point of time, I can’t give a lot of transparency to it but we do have activity and hopefully in the near future we’re going to be able let our investors know exactly what that activity is.
Jack Fred: Okay. Is it still, I mean is it still the infancy, is it the price of setting up a showroom? Is that still a part of it?
Scott Koller: I think, yeah sure like QSR, there’s a lot of moving parts. Dealerships are just like a franchisee network so the dealerships have incentives from the manufacturers to sell cars they get a lot of the marketing from them. They get co-op dollars. So it really it really comes down to who’s going to pay for the initiative and is the manufacturers going to mandate it, in some cases are not mandated. It really comes down to that, but as you see the big tree getting healthier, as you watch Chrysler get healthier, I think that becomes an easier decision. But it’s very much like handling QSR. We have a relationship with corporate and then they have a dealership network and it comes down to the politics of who’ll be paying for what.
Jack Fred: Okay. That’s all. Thank you.
Scott Koller: Thanks Jack.
Darin McAreavey: Thanks Jack.
Operator: Thank you. The next question is from the line of Russell Wagner with Quartz (ph). Please go ahead.
Russell Wagner: Hi. In January, you guys had an announcement about a marketing platform for a sales support. I think you had like 40 sites and it was using the iPad and I want to see what the status was with that deal and what the future might hold with that program?
Scott Koller: Yeah. That was in retail. We still have a relationship with that client. At this point in time, there is nothing to update as far as implementing further technology or growing that. However, we continue to test and work with them on that particular initiative. It’s just it’s difficult to talk about because they have not wanted to talk about it publicly, so I can’t put a whole lot of transparency on it, but we continue to have a relationship with the client.
Russell Wagner: Can you give me an example of how that works in general terms? Is it something that someone uses on a retail more level with directly with the customer and they have like?
Scott Koller: Absolutely. It’s a sales assist tool very similar to iShowroom but in a iPad format so if you have complex product line and you want to have details on hand or due comparisons between different models of a certain retail product. The salesman has his tool now in their hand like any other salesman in any other industry that they can refer to and walk the clients to an experience. So yeah, you hit the nail on the head is very similar to iShowroom where it should be either self-navigated by the customer itself or through navigate it with the sales person.
Russell Wagner: Right. So and it works well with a change in large number of retailers where they common inventory.
Scott Koller: Absolutely. And the other thing that’s important is, you know most of the industries have quite a bit of turnover. So training new retail associates or training new salesman and dealer associates is complex and it’s time consuming. And if you can get a tool on their hand that helps them and helps them become more effective, it’s a pretty powerful tool.
Russell Wagner: Right. Also I guess you part of – environmentally you part of a paper reduction on a lot of retail services from signage to marketing material in the cost (inaudible) having these kind of things is that one of your strategies?
Scott Koller: Yeah, that’s a hard one to go about with a lot of our clients. I’ve heard discussion that digital signage is a green initiative but then I look at the amount of hardware is going into the environment and how much electricity we’re using. So yeah, it is and it becomes paperless, it becomes – the more key important factor that be in paper list is the ability to update it dynamically every night with new content and not printout and shift new paper materials.
Russell Wagner: All right. Thank you very much. Cheering you guys on.
Scott Koller: Thank you, Russell. I appreciate it.
Russell Wagner: Okay.
Operator: Thank you. The next question is from the line (inaudible). Please go ahead.
Unidentified Analyst: Hello gentlemen could you give us an update on what’s going on with McDonald’s?
Scott Koller: Barry, I can’t give you an awful lot and what I will tell you is sake of what Dwayne said is, the Keyser has a very strong relationship with McDonald’s. McDonald’s has a high interest and has did demonstrated before high interest in digital. So for every reason we went into relation with Keyser and every reason they went into relationship with us still stands to be very solid and we believe that we can leverage each of our strengths to take advantage of our joint offering. But I can’t give a whole lot of transparency on what McDonald’s will be doing digital in the near-term.
Unidentified Analyst: Have you started any pilots with them at all or do you have still plans on that?
Scott Koller: Barry, I’m just not in a position to be able to discuss that at this point.
Unidentified Analyst: Okay. Thank you.
Scott Koller: Thank you.
Operator: Thank you. (Operator Instructions) The next question is a follow-up from the line of Russell Wagner with Quartz (ph). Please go ahead.
Russell Wagner: Hi, just curious, do you guys expect to turn a profit in a next year?
Darin McAreavey: Just on the sales uptick (inaudible) goes always been to get this company to a non-GAAP breakeven and it’s between revenue growth and continued cost optimization that we’re going to try to achieve at this year.
Scott Koller: I think what’s important to note as we continue to optimize our expense structure in Q1 that was a reflect in Q1 and it will be reflected in Q2, but we continue to look at ways to optimize this company and make us as efficient as possible. So, profitability in the near-term is our goal. We need revenue growth. We need to continue to maintain our expenses. So we need to continue to grow our margins.
Russell Wagner: So you think is a year out of the question?
Scott Koller: It’s not out of the question, it’s certainly our goal.
Russell Wagner: Okay. And one and if you could comment on competition and how you guys are pairing, I’d be interested in that also.
Scott Koller: Yeah it’s on – I’ll answer in two different ways. One is, I really do believe that the strategy ship we had last year from a pure digital signage into marketing technologies breaking down the silos between web, social, mobile, digital signage itself has paid dividends for us. It truly is a differentiator and it has gone beyond selling apples-to-apples to really differentiating Ronin. At the same time, we’re starting to see the same competitors over and over again depending on the vertical, its different automotive as it’s different to QSR and it’s different to retail. However, I would say there are few competitors and there were four to five years ago, it’s still a very fragmented market but there are a couple that are stronger than a lot of them. But at the same time, we’re starting to see the same ones more frequently depending on the vertical.
Russell Wagner: Okay. Thanks.
Scott Koller: Russell, that answer the question?
Russell Wagner: Yeah. I was curious if you want to name any that you have issues with that Cisco or is it who it might be and how you actually specifically standup against any individual competitors?
Scott Koller: Yeah, Russell, that conversation I would love to have with you, however, I don’t want to name my competitors and tell where I have problems with them on our earnings call. I’d rather have – then I don’t need to be cross on there, I just – that’s a conversation you and I can have in a heartbeat, I just don’t want them listening to it and figuring out how we attack and how we approach that.
Russell Wagner: I certainly understand.
Scott Koller: Okay.
Russell Wagner: Okay.
Scott Koller: But I would certainly have that conversation with you.
Russell Wagner: All right. Well it sounds like – okay. Thank you.
Scott Koller: Thank you, Russell.
Operator: Thank you. There are no further questions at this time. That does conclude the question-and-answer session. Thank you for joining us today for our presentation. This concludes today’s call. You may now disconnect.